Operator: Good day, and welcome to the Streamline Health to report Second Quarter 2018 Financial Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. David Sides, President and Chief Executive Officer of Streamline Health. Please good, sir.
David Sides: Thank you for joining us to review the financial results of Streamline Health Solutions for the second quarter and first-half of fiscal year 2018, which ended July 31, 2018. As the conference call operator indicated, I’m David Sides, President and CEO of Streamline Health. Randy Salisbury, our Senior Vice President and Chief Marketing Officer, who usually begins our earnings call is on PTO this week. So I’m handling his duties today. Joining me on the call today is Tom Gibson, our new Senior Vice President and Chief Financial Officer. At the conclusion of today’s prepared remarks, we’ll open the call for question-and-answer session. If anyone participating on today’s call does not have a full-text copy of our press release announcing these results, you can retrieve it from the company’s website at www.streamlinehealth.net or numerous financial websites. Before we begin with prepared remarks, we want to be sure we are clear for everyone on the record of certain information, which may be provided today, as with all of our earnings calls, should be viewed. We therefore submit for the record the following statement. First, statements made on this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those we may discuss. Please refer to the company’s press releases and filings made with the U.S. Securities and Exchange Commission, including our most recent Form 10-K annual report for more information about these risks, uncertainties and assumptions and other factors. As always, we’re presenting management’s current analysis of these items as of today. Our participants on this call should take into account these risks when evaluating the topics we will discuss. Please note, Streamline Health is not undertaking any commitment or obligation to publicly revise any such forward-looking statements made today. Second, we will discuss non-GAAP financial measures, such as adjusted EBITDA. Management uses these measures to help provide better insight into our financial performance. However, certain items of income and expense are not included in these measures, so these calculations may differ from those which another entity may reach using their own non-GAAP measures. To help you compare these amounts on consistent terms, please refer to our website at www.streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. With that said, let me get on with my prepared remarks. First, I want to comment on our second quarter and first-half of fiscal year 2018 performance. Then, as usual, I want to look at our third quarter performance to date and comment on what we anticipate seeing for the remainder of our fiscal year. Before I do, I want to say that I think our second quarter performance was particularly productive in many operational areas of our business, which we will touch upon this morning. That said, with regard to our financial performance, as released yesterday afternoon, for the second quarter of fiscal 2018, we generated revenues of approximately $5.3 million, a decline sequentially from the first quarter of this fiscal year of approximately $1 million. The main driver of which was a large perpetual license contract with an existing client, which we discussed in our Q1 earnings call. [Excluding] [ph] that perpetual revenue in Q1, which I will remind everyone as non-recurring revenue, our revenues were flat quarter-to-quarter and down approximately 12% as compared to the same period a year ago. The first six months of fiscal 2018, revenues were approximately $11.5 million, down about 3%, compared to approximately $11.8 million in the first six months of last year. Recurring revenues were approximately 83% of total revenue for the second quarter, about the same as Q2 a year ago, but up substantially sequentially from the previous quarter, primarily due to the aforementioned perpetual revenue of $1.1 million in Q1 2018. Our bookings for the second quarter of 2018 were $1.9 million. We continue to feel confident that we will produce between $2 million and $3 million in bookings each quarter for the remainder of this year. We’re off to a good start in the first month of our third quarter, as one of our contracts we had worked hard to close in Q2 signed on the first day of August, one day too late to becoming in the second quarter, but such is the nature of our business. The bookings in Q2 consisted primarily of two new eValuator clients and our first Allscripts Abstracting client. Today, our pipeline includes more Abstracting opportunities with Allscripts clients, which we’re pursuing vigorously in partnership with the team from Allscripts, and we believe will add more deals in the second-half of this year and into 2019. The two new eValuator clients are both very good additions to our client roster, as one is the leading educational facility on the West Coast and the other is Hunt Regional outside of Dallas, Texas. Looking ahead to the second-half of our fiscal year, we continue to believe that our bookings projections will be solidly in the range we’ve discussed. We’ll see new bookings from our direct sales efforts, as well as through existing reseller partners. Moving now to adjusted EBITDA. We generated approximately $356,000 in Q2 of this year. The adjusted EBITDA for Q2 2018 is down sequentially from the first quarter of this year due to the $1.1 million perpetual license, which is nearly 100% gross margin. To a lesser extent, adjusted EBITDA is lower than the same quarter a year ago. That said, we are pleased with our first-half performance. And for this fiscal year, our adjusted EBITDA was $1 million, as compared to just $45,000 from the same period a year ago. This was in spite of some charges for subleasing our New York facility in the second quarter of this year that affected our bottom line and were not adjusted from our EBITDA. I will discuss this little more in a moment, but I’ve asked our new CFO, Tom Gibson, to cover this and other financial metrics in more detail in his prepared remarks coming up shortly. In GAAP terms, our net loss for the second quarter was approximately $1.5 million, which is down both sequentially and year-over-year due to few charges that will not impact the company in future quarters. For the first six months of this fiscal year, our net loss was approximately $2.1 million, a marked improvement over our net loss of approximately $3.1 million during the same period in fiscal 2017. In addition to the improvements in the income statement, we continue to strengthen our balance sheet. At the end of second quarter this year, our cash on hand was approximately $3.2 million, as compared to approximately $2.9 million at the end of Q2 last year. Our bank debt was $4.2 million at the end of the second quarter this year, down from $4.8 million at the end of Q2 last year. I mentioned at the outset that I felt the second quarter is particularly productive, not just in terms of revenue and adjusted EBITDA, but in many improvements we have made that will enhance our ongoing performance in the coming quarters and years. We’ve sharpened our focus as to what we sell and service in the marketplace today. And I think most of you know by now that we are focusing on helping clients and prospects with the challenges they face in the middle of their revenue cycle from charge capture to bill drop. This refined market focus has helped us to apportion development and support resources more efficiently and has helped us to continue to reduce our operating cost, generating incremental cash flow and reducing our level of bank debt. Given our tighter market focus, we’ve been negotiating with our long-time client, Montefiore Medical Center in New York City from whom we had licensed their technology for our clinical analytics platform. Part of our agreement with them originally signed in November of 2013, we were obligated to pay them the remainder of the $3 million royalty in December of 2020. Given that we have deemphasized this solution in our product offering for the middle of the revenue cycle and that we have not experienced the kind of revenue growth originally projected, we met with Montefiore to rework the agreement. In exchange for reducing the outstanding royalty to $1 million, we’ve agreed to provide Montefiore certain amount service hours at no cost for the remainder of their term. Impact to reported GAAP revenue after accounting valuations is roughly $120,000 for each of the two annual periods following the amended contract. Recognized revenue for the amended contract from Montefiore will be non-cash. Other areas of operational improvement include our use of corporate real estate. I’ve asked Tom Gibson, our new Chief Financial Officer, to review the moves we’ve made recently and the financial impact of those moves for our company going forward. Suffice it to say that we will save a notable amount of cash and expense by reducing our real estate footprint, money that we are reallocating for further product development, sales and marketing expenditures to help generate revenue growth. Lastly, one of the things that made the second quarter particularly productive was the hiring of Tom Gibson as our new Senior Vice President and Chief Financial Officer. I’ve asked Tom to handle the financial portion of this quarterly conference call and he has graciously accepted even though he was not a member of our executive team during the quarter. I’ve also asked Tom to take this opportunity to tell you a little bit about himself, so that you can begin to get to know him. We have plans to get Tom out into the market, meet with our clients and meet with you, our investors as well. Randy Salisbury will communicate via press releases and directly with many of you as those opportunities to meet Tom present themselves. I’ll now turn the call over to Tom Gibson, who’ll provide greater detail on our financial results for the second quarter and first-half of fiscal year 2018. Tom?
Tom Gibson: Thank you, David, and good morning, everyone. Since this is my third day on the job, allow me to first introduce myself. I’m Tom Gibson, and I’ve spent approximately 15 years of my career in large, national, public accounting firms and 15 years in various financial roles in public and private companies. I’ve specialized in healthcare over the last 10 years with a bias towards healthcare IT. Beginning at MedAssets in 2008, I have primarily been focused in healthcare. In my previous positions at MedAssets, Greenway Medical and R1 RCM, formally Accretive Health, I have contributed to organic growth and the closing transactions for larger, complex and active public healthcare companies in this space. During my time at MedAssets, the company grew primarily on the revenue cycle side of the business through acquisition from $60 million to nearly $300 million in revenue. At MedAssets, the entire company grew from approximately $130 million to $600 million by the time I left. It was an incredibly rewarding experience and I’m very proud of that accomplishment. It demonstrates my commitment to working as a team and an ability to quickly grow an organization efficiently. During my interview process, I met with each member of the Board and believe we are all aligned in our thinking about the immediate next chapter of our company’s life cycle and that is growth. With that in mind, I look forward to helping the management team fund revenue growth, linking operating processes to financial metrics and nurturing relationships with the investor community. In fact, as our income statement continues to improve and with the anticipated savings from the operational improvements already realized, the company will have cash to fuel its future revenue growth. I was fortunate to have seen Streamline a number of years ago and I can attest to the operational and financial improvements that are evident in the business today, that is attributed to the 100-plus associates that have dedicated themselves to the operational improvement initiatives. In my initial view of the business and its leadership, I have found a strong, operational and financial discipline in the management team and its associates. I think, Streamline Solutions are very well-positioned in the middle of the healthcare providers’ revenue cycle. I want to help orchestrate strategies, focused on building revenue growth, which is the next logical step from the foundation of operational improvement and financial discipline that Streamline has successfully established. As David referenced earlier, an area of cost savings for our company is our use of office space in both New York City and here in Atlanta, Georgia. The company’s office in Manhattan, which is located at 30th and Madison Avenue was a sublease set to expire in November of 2019. Most of our New York area associates are developers. And when David and the team surveyed them, the vast majority said, they’d rather work at home. With this knowledge, the company explored an opportunity to sublease. Effective this past July, the company was successful in those efforts. We expect to save nearly $800,000 per year, beginning in fiscal 2020. The next big area of opportunity is the company’s 24,000 square feet Atlanta headquarters space. The company is actively marketing the space and anticipates having a notable reduction in the cost for its Atlanta office space. The company looks forward to having more specific information regarding the Atlanta office space in the next few months. With that, I will now move on to the financial performance for the quarter and first-half of this fiscal year. In the quarter, we generated $5.3 million in revenue and $356,000 in adjusted EBITDA. I will first note that the office sublease in New York had a significant non-cash impact to net income of about $806,000 that has been taken out of our reported adjusted EBITDA. This $806,000 non-cash charge is related to the future lease liability that exceeds our estimated sublease income, as well as some write-off of furniture and fixtures. Operating expenses were approximately $5.9 million in the second quarter of 2018. This adjusted for the operating lease exit cost of $806,000, down $1 million from the same quarter of 2017. The primary factor was cost of sales that were lower by approximately $0.5 million and G&A and R&D investments, which both decreased by about $500,000, total. The reduction in cost of sales is attributable to the lower amortization of capitalized software compared with the prior period. Operating expenses were down $750,000 sequentially from the first quarter of 2018, a portion of which is due to the expenses incurred around our annual audit. In addition to the non-cash adjustments for the sublease liability creation, the net loss for the first six months of 2018 of $2.1 million includes $1.4 million of non-cash depreciation and amortization. This is compared to the first six months of 2017, where we reported $3.1 million of net loss, including $2.2 million in depreciation and amortization. The company has seen a rolling off of amortization from Meta Health intangibles in Q3 2017 and additionally, the rolling off of capitalized software amortization in 2018 on some large development projects that are now fully amortized. Moving on to the balance sheet. We finished the quarter with approximately $3.2 million of cash on hand. This includes almost $477,000 in cash generated from operations in the quarter. Beyond operations, we invested $800,000 in new functionality for our client solutions in the three months ended July 31, 2018. We foresee continuing to invest in solutions that have the most potential for revenue growth going forward. The company is expecting to invest between $2.6 million to $3 million on capitalized product development for the full fiscal year 2018, as compared to $1.8 million spend in fiscal 2017. Generally, this is not incremental cost to the business rather cost that has been capitalized to the balance sheet as we have addressed new functionality requested by the marketplace and slightly higher benefit cost and facility cost that is being capitalized in product development from the previous years. On the financing side, we continue to make our regular $150,000 quarterly payments on our term loan. The balance of which was $4.2 million, net of financing cost at the end of the quarter. With respect to future visibility, backlog at the end of the second fiscal quarter stands at $23.4 million. A reminder here that due to the variable nature of some of our audit service engagements, we only report in backlog those arrangements, which have clear, fixed revenue commitments. The backlog measure, as reported herein, includes only contracts through their natural, original term or through the end of the next succeeding auto renewal term and are not extended for future auto renewal terms. The timing of the contracts to their natural termination compared with the end of the quarter could materially impact the reported value of the backlog measure. The company is evaluating this measure, both as definition and reporting. That concludes my remarks. But before I turn the call back to David, I want to reiterate that I’m pleased and excited to be here at Streamline Health, and I look forward to meeting with many of you in the months ahead. David?
David Sides: Thank you, Tom. I’ve asked Randy to be the conduit for information request for Tom in the near-term, so he can focus in the short-term on getting it acclimated and digging in. Short order though, we’ll provide direct access to him as appropriate. And for the time being, please continue to communicate directly with Randy on all Investor Relations issues. As I mentioned at the outset, Randy will be back in the office next week. Before I open the call to questions, I want to comment on our progress in developing and selling eValuator, our automated pre-bill coding analysis platform. At the midpoint of our fiscal year, we’re behind the pace we set in February of averaging four new eValuator contracts per quarter throughout fiscal 2018. As we look at the next two quarters, if we can add 10 more eValuator clients, we’ll have met our goal. We continue to believe this is attainable. Here is why? The fact remains that our target buyers are under increasing financial pressure. Every week, if not every day, we read in our industry’s street press about another hospital closing or filing for bankruptcy. About a healthcare provider being found guilty of overbilling and being forced to repay the overbilled amounts plus fines. About hospitals reporting shrinking margins and staff layoffs. eValuator is a power tool healthcare providers can use to improve their top and bottom lines and to reduce the risk of overbilling. There are at least four reasons why we believe we can succeed with our eValuator solution. First, our pipeline remains full of qualified prospects, both in very current terms like the next 60 to 90 days and over the mid-range of three to five months. Second, we are increasing the scope of the eValuator solution, which should broaden the breadth of our pipeline of prospects. Earlier this month, we put Hospital Acquired Conditions, or HACs, and Patient Safety Indicators, or PSIs, into the eValuator rule set. This enhancement expands the usefulness of eValuator by also starting to address Value-based payments. That means we can help with client issues beyond just DRGs. In addition, we now have a critical mass in the number of outpatient rules entered into the platform, as well as new Profee rules. These two additional applications open up two new segments of the total market, both of which have greater total revenue opportunities in our estimation in the original inpatient market segment. We believe we can and will be first to market with expanded eValuator rule sets and we will be conducting live demonstrations of all three solution sets at our industry’s largest trade show, AHIMA, taking place at the end of this month. We’re also looking into adding chart rules to eValuator. We view these rules as less complex than some of our other rule sets as they can still add value to our clients and prospects. By incorporating chart rules in the next several months, we will have expanded the capabilities of eValuator from the original version of inpatient-only rules to outpatient, Profee for physician practices, Value-based Care by adding HACs and PSIs and charges. We believe that provides us with a spectrum of advice that no other competitor in the marketplace can match and will further differentiate us in the market. Third, the two epic clients we have signed so far should both go live on eValuator this month. This is important, because we segment how we sell the clients by the type of EMR system they use. Certainly, we believe with our A client list, those who have Allscripts and Meditech as their EMR, which is where we have good integration success already. We believe that our B clients are those who have Epic as their EMR, a segment of the addressable market about 4 times larger than Meditech. Once we get our third Epic client live, which is a prerequisite of many RFP inclusion, it provides you with the necessary number of references to be successful. When this happens, we will advance or accelerate many of the opportunities, because Epic-based healthcare providers tend to be larger institutions. With three Epic reference clients, the potential dollar volume of our go-forward pipeline increases dramatically. Fourth, and I think as important as any of the previous factors, we are just now entering into conversation with resellers about enabling them to sell eValuator to their clients and prospects. Benefit of this new channel of sales won’t be felt until next fiscal year, but we believe we are building enough of a user base to entice other larger vendors in the industry to consider selling eValuator themselves. Benefits of our cloud-based automated pre-billing technology are many and easily measured in all three phases of use. We can execute on this strategy. Our eValuator solution will enable hospitals, outpatient facilities and physician practices to greatly improve their coding practices. I think potential benefits like cutting their days of accounts receivable, improving their cash on hand, reducing the number and dollar amount of patient bills being divided by payers and reducing the need for post-bill audits. That concludes my prepared remarks. But before turning the call over to the operator, I want to thank our Streamline Health associates for their continued hard work and dedication to our clients, to our shareholders and to each other. I’ll now turn the call over to the operator for our Q&A session. Operator?
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Matt Hewitt with Craig-Hallum Capital Group.
Matthew Hewitt: Good morning, gentlemen. Thank you for taking our questions. A few for me. First, congratulations on the progress that we’ve been seeing with eValuator. It seems a little bit slower than, I guess, you had anticipated or initially thought. There’s a chance for that to catch up in the back-half of the year. I’m just wondering, as you look at the pipeline and now with the new markets, how should we be thinking about the addressable market size, whether it’s from the inpatient perspective or with the new outpatient opportunity? How big are those markets? And how should we be thinking about that?
David Sides: Thanks for the question, Matt. On the slide that we showed, we think each of the markets is about the same size. So I would hesitate to say that the Profee is a market that’s easily addressable. In that, there’s a lot of physician practices. So resellers would be the way to get to that, but the total addressable market for each one of the three is roughly equal. So we’re excited to be showing our outpatient, our Profee and then the Value-based Care, we’re not sure what that looks like, we think they’re – that’s just a subset of each of the three, but we’re excited to show them, because we think it essentially adds two more sizes. So we have kind tripled the size that we had before of the addressable market. Now and my only caveat is for physician offices, that’s a hard market to get to a physician by a physician. I think to really address that market, we will need resellers or large groups to get to it. But we’re excited, because the outpatient market really is about the size of inpatient, we’ve started quoting that to clients and just the volume of things that are going through surgery centers and others and the amount of charges there looks extremely similar. So that one alone, I think, we are happy to see at a minimal in the market that we can address double.
Matthew Hewitt: Okay, great. And then, a couple of other questions here. Regarding the Allscripts win in the quarter, congratulations on getting that one across the goal line. Could you remind us how big are those deals? And how are they structured? And maybe I guess, a follow-up to that is, what is the pipeline look like? How should we be thinking about those deals from a cadence perspective?
David Sides: Good question. The pipeline itself looks good. I mean, the forward indicators are that, we are doing a couple of quotes a week. So a good uplift there, the size of deals could be anywhere from a critical access of, I don’t know maybe $50,000, up to $300,000, $400,000 like we see in kind of larger clients. So it could run the gamut and it could be even larger clients that potentially push up towards $1 million. They’re generally being structured so far as either term or perpetual license and it’s somewhat client preference on how they’re going to purchase through the reseller. But we’re pleased to have that, that piece started and underway and already started that project. So our goal is to start making it really easy to work with us, where we bring clients live in 60 to 90 days and they see a cadence of, wow, this is something I sold and my client gets value quickly, so we can really roll down the line there.
Matthew Hewitt: Okay, great. Then one last one for me and I’ll hop back into queue. And Tom, welcome to the company and I realized that you’re only on the job for just a few days here. But the company has done a very good job of streamlining and getting as many cost efficiencies they possibly can. You even spoke about some of them on lease side today. As you look at the financial picture, how much is left from a cost reduction standpoint versus, and I think you even alluded to this early in the prepared remarks, David, is investing for growth again? So how much is left on the cost reduction size – side? And how should we be thinking about growth investment going forward? Thank you.
Tom Gibson: Yes. Thank you very much, Mark [sic] [Matt]. I appreciate the question. I think there are always some opportunities for cost reduction or something we want to keep a very good eye on, apologize that. So something we want to keep our eye on. However, I will say that the company has done a great job of identifying the real big hitters. And while we have executed on all of the big hitters, we do have – they are in the works. And so I think, by the end of this year, we will address the real key items on the cost savings side. And I think our attention has already turned to how we invest some of these savings into the growth. Appreciate the question, Matt. Sorry, I got your name wrong.
Matthew Hewitt: No worries. All right. Thanks, guys.
Operator: [Operator Instructions] We’ll take our next question from Frank Sparacino with First Analysis.
Frank Sparacino: Hi, guys. David, maybe just on the eValuator clients you have signed to date, has there been a focus in terms of hospital size or does it sort of span the gamut?
David Sides: So far span the gamut, I think, we don’t have anyone over maybe 1,000 beds, but that’s a pretty big size, you’ve $1 billion or multi-billion organizations there, perhaps we’ve been in the middle so far, mainly focused on Meditech and Allscripts, where we have really good integration. We’ve got two Epic clients scheduled to go live this month, where we got good integration. And so that for us, once we have those two live clients getting to the third is a big milestone for us, because those clients usually tend not to want to do as much integration work, it can be more difficult that we’re not having any problems with it. It seems like a good integration set and clients are driving value from it. So I think you’ll see or we see a real acceleration in our pipeline in the near-term once we get those clients live and talking to other clients in that user base about the value they’re driving. So that’s one of the reasons – probably one of the biggest reasons we’re really excited about the pipeline and think we can make up the time on the four, we’re behind.
Frank Sparacino: I guess, I wanted to go back to the comment you made, David, around the financial pressure for hospitals and clearly, the environment is mixed at best. But in your talks with hospitals around eValuator and particularly those at are not moving forward or moving slowly along. What do you think is the primary reason for delay? Is it financial health, or is it maybe resources or other competing revenue cycle projects that may be have a better ROI and higher priority?
Operator: [Operator Instructions] [Technical Difficulty] Our presenters have rejoined us. And I apologize. Frank, you may need to restate your question?
David Sides: Well, Frank, actually I heard your question, I answered it for three minutes before we realized that our line had dropped, which we’re on a landline, so I don’t know what happened.
Frank Sparacino: All right. Good.
David Sides: So let me take a stab at it. I think, you were asking, so the financial health of clients, how does that translate into eValuator, what are the reasons that they are buying? Correct?
Frank Sparacino: Yes, or even delaying? Yes.
David Sides: So we see people buying primarily, because they’re looking to see with kind of external validation are being paid appropriately everything that we should be for the work that we haven’t done. And so when we’re selling to CFOs or directors of revenue cycle, they’re looking at, okay, how can the tool help me be sure that I’ve got that, I’ve got reports to show if I have problems by physician, by hospital, by outpatient facility, et cetera. And then, the secondary criterion people could buy because of is compliance. So how did they know that they’re not going to have RAC audits or other problems later with denials. And so if you have someone who has compliance or who has ever worked with RAC auditors before, we see with them that they really appreciate when we show them where their billing might be off or might be denied in the future or sometimes clients will just take the two and net amount, these guys will actually count – those count as much, because it’s money we’re going to lose on the other side. And so between those two, we actually have seen – so I mentioned, we haven’t had really large client, we have some really large clients in our pipeline, especially as we show them the breadth across outpatient and Profee to be able to say, here is everything that we can do with this. Especially on outpatient and Profee where they don’t have humans looking at it. So there’s less intervention or eyes looking at every transaction. We’re actually now able with computer to check all the transactions going through that they missed before. And so the piece that could slow them down as they work how to operationalize this is sometimes, okay, now I need to come up with a new role of somebody to review what the computer is reviewing. And so that’s a discussion that we’ve started to talk to them about as far as change management. So you may not have this position today, and we may look at 10,000, let’s say, inpatient and outpatient encounters, we flag 500, somebody has to look at the 500. And so the way we’re starting to get through that in the sales process is to offer our own people to help them initially ramp-up on that. And as you do that for a more months, the denials will go down, making those people who are may be work on denials today to do review now. So it goes from a reactive state of a proactive state. And so that, that’s how we’re trying to sell-through that. But that’s been maybe one of the things that we’ve had to work on in our sales messaging and sell-through as we’ve seen the marketplace more and – engage with more clients as they don’t have a role of a person who is kind of looking at this. They have roles for people to deal with it on the back end, but there’s no one thinking about it proactively. So as we move from random billing post audit of only 1% of looking at 100% of all transactions, we found we need to help clients, understand how they need a new role to deal with that, that volume.
Frank Sparacino: Thank you, David. That’s helpful.
Operator: And it appears there are no further telephone questions at this time.
David Sides: Well, thank you, again, for your interest in support of Streamline Health and your patience while we figured out our phone, apologies. If you have any additional questions or need more information, please contact Randy Salisbury at randy.salisbury@streamlinehealth.net. We look forward to speaking with you all again in December when we will discuss our third quarter 2018 financial performance. Good day.
Operator: And once again that does conclude today’s conference, and we thank you all for your participation. You may now disconnect.